Operator: Good day and welcome to INOVIO Fourth Quarter 2019 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is also being recorded. I would now like to turn the conference call over to Ben Matone, Senior Director of Investor Relations. Please go ahead.
Ben Matone: Thank you, operator. Good afternoon and thank you for joining the INOVIO Pharmaceuticals' fourth quarter and year-end 2019 investor conference call. With me today are INOVIO's President and CEO, Dr. J. Joseph Kim; our Chief Financial Officer, Peter Kies; and Senior VP of Research and Development Dr. Kate Broderick, who will provide an overview on INOVIO'S continued efforts regarding the company's DNA vaccine which is targeting the current COVID-19 outbreak. Today's call is being webcast live on our website, ir.inovio.com, and a replay of today's call will be made available. Following a general business update, we will conduct a question-and-answer segment, which will be reserved for equity research analysts. During this call, we will be making forward-looking statements that relate to our business, which include our plan to develop INOVIO'S integrated platform of DNA medicines, as well as clinical and regulatory developments and timing of clinical data readouts along with our capital resources. All of these statements are based on the beliefs and expectations of management as of today. These statements involve certain assumptions, risks and uncertainties and could cause actual results to differ materially. We assume no obligation to revise or update forward-looking statements whether as a result of new information, future events or otherwise. Investors should read carefully the risks and uncertainties described in today's press release, as well as the risk factors included in today's 10-K filing with the SEC. I would now like to turn the call over to INOVIO's President and CEO, Dr. J. Joseph Kim.
J. Joseph Kim: Thank you, Ben. And good afternoon everyone. It seems much longer than two months ago when we provided our clinical program update announcement in January. We have accomplish much in the last two months, even in the midst of all of that has emerged and continues to evolve with the coronavirus. Back in January, we remarked that this year is setting up to be a transformational period for INOVIO. And while investor attention over the last couple months has been on our COVID-19 vaccine development. This call is timely, as I think it allows us to reconnect investors to our core fundamental and pipeline programs and exciting upcoming data catalysts. But before the update on our core pipeline programs and our upcoming catalysts, I would like to address the emerging novel coronavirus pandemic. For an overview of our COVID-19 vaccine development, I'd like to introduce our Senior VP of R&D and our COVID-19 team lead Dr. Kate Broderick. Kate?
Kate Broderick: Thank you, Joseph and good afternoon everybody. Yesterday, March 11th, according to the WHO approximately 118,000 cases of COVID-19 have been reported globally with more than 4,292 deaths. The CDC has reported a total of 930 cases in the U.S. with 29 total deaths. This alarming situation is rapidly evolving and requires a swift collective response from biotech and pharma companies around the world. During our time together today, I'd like to cover three main points. Number one, why INOVIO may have one of the best platforms to respond to emerging infectious diseases. Number two; INOVIO's progress today developing INO-4800, our vaccine against COVID-19. And lastly, point number three; our next steps on anticipated milestones. So first, why is INOVIO optimally suited to rapidly respond to emerging infectious diseases like COVID-19? Well, we have consistently demonstrated potent CD8 killer T cell, an antibody responses from all of our previous immunotherapy and vaccine clinical trials. In fact, INOVIO has extensive experience working with coronaviruses specifically with MERS or Middle Eastern Respiratory Syndrome. In fact, INOVIO is the only company with a vaccine candidate against MERS in a Phase 2a clinical trial. We are leveraging our experience with MERS coronavirus and applying it here to COVID-19. With support from the same organization CEPI who is funding our larger Phase 2 MERS trial in the Middle East. In addition, INOVIO DNA medicines are stable at room temperature for over a year and 28 [ph] degrees for more than three years. When you contrast that to other vaccine approaches like recombinant proteins, viral vectors and messenger RNA after the LNP formulation step, these must be kept at minus 80 degrees. Perhaps more importantly, our DNA medicines have demonstrated an acceptable safety profile in over 2,000 patients. So let's move on to INOVIO's COVID-19 vaccine development progress to-date. On December 31, 2019, INOVIO scientists learned about a novel coronavirus named SARS-CoV-2 which caused an outbreak of respiratory disease in Wuhan, China. Shortly thereafter, on January 10, 2020 Chinese researchers shared the genetic sequence of the novel coronavirus. Using this information we designed a DNA vaccine INO-4800 in three hours. So how were we able to do this so quickly? While DNA vaccines do not require the possession of the virus to make a vaccine. We just need the vital gene sequence. And then we employ our proprietary algorithm to design a DNA vaccine. In addition, our deep understanding and expertise in coronavirus vaccine development from our previous and ongoing work with the related corona virus that causes MERS allowed us to be able to move very quickly. In the second half of January and into February, we began small scale manufacturing of the vaccine and completed the first phase of preclinical testing. I'm pleased to see that we saw the expected type of immune responses in these studies. Robust preclinical data has been shared with our public and private partners and is currently in consideration for publication in a peer-reviewed scientific journal. And I can assure you that our dedicated research team and our global collaborators are generating even more preclinical data as we speak. In addition, I know 4800 is the 16th product to enter the clinic using our DNA medicines platform. We're able to leverage this extensive clinical and regulatory experience and expertise to rapidly advance this vaccine into the clinic. My third and final point is related to future steps and milestones. Our goal is to begin human clinical trials in the U.S. in April. We are also planning to begin human clinical trials soon thereafter with our clinical partner Advaccine in China and potentially in South Korea with additional collaborators and funders. Contingent upon positive data and public urgency and funding, we are capable of delivering one million doses of INO-4800 by year end based on our existing resources on capacity. As Joseph mentioned during his White House meeting with the U.S. coronavirus task force, we will need additional resources to scale up and make enough doses to help prepare the American public from COVID-19, as well as to contribute to the collective global effort to curtail this virus. INOVIO was committed to leading the fight against this global pandemic. And we look forward to updating you on our progress in the near future. Lastly, as you will have probably seen in our released this morning, we announced a new $5 million grant from the Bill and Melinda Gates Foundation to accelerate the testing and scale up of CELLECTRA 3PSP proprietary smart device for the intradermal delivery of INO-4800. Initial development of CELLECTRA 3PSP was started in 2019 with an $8.1 million funding support from the medical arm of the U.S. Defense Threat Consortium. Collectively these grants will support continued development of our intradermal delivery smart devices, which are essential for our vaccine disease platform. This latest grant comes in addition to the funding that we received from CEPI earlier in the year of $9 million, which fully funds the development of INO-4800 through U.S. Phase 1 clinical testing. Altogether, these grants convey the continued confidence and support in an INOVIO's technology and platforms with the ability to address both urgent pandemics such as COVID-19, as well as potential future ones. We sincerely appreciate our partner support on these endeavors and we look forward to sharing more with you in the coming months. And with that, I'd like to turn it back to you, Joseph. Thank you.
J. Joseph Kim: Thank you, Kate. We really appreciate all the work that you and your team are doing. I can tell you from my recent interactions with President Trump and the coronavirus task force, they are looking to INOVIO as one of the leaders to address this ongoing public health threat and cooperate with other companies and organizations on this important effort as a part of the COVID-19 vaccine community. And our INOVIO team continues to be a vital part of this development, working around the clock towards getting a vaccine into humans as quickly and safely as possible. We can't thank everyone enough at INOVIO. This has truly been a team effort. With that, let's continue on our core pipeline program updates. First, our new product candidate, INO-3107. In February of this year, we received IND acceptance for a Phase 1/2 trial to evaluate INO-3107, our DNA immunotherapy for treating Recurrent Respiratory Papillomatosis or RRP. RRP is a rare disease caused by HPV Type 6 and 11 infections. This condition causes non-cancerous tumor growths leading to life threatening airway obstructions and occasionally can progressed to cancer. Currently, this disease is incurable and is mostly treated by invasive surgery, which temporarily restores the airway. However, the tumor almost always recurs, and the surgery must be repeated often multiple times a year. You can imagine how RRP severely impacts the quality of life for those living with the disease. INO-3107 is designed to destroy and clear tumors caused by HPV 6 and 11 infections. It has the potential to provide people living with RRP a long-term improvement in their disease, especially as an alternative to often frequent and debilitating surgeries that do not address the underlying disease causing virus. We first saw INO-3107 potential and results from a pilot study of two RRP patients with HPV 6 infection, which were published in the peer-reviewed scientific journal vaccines recently. Four injections of immunotherapy allow two RRP patients to delay the need for surgery to a robust degree. Both had previously required two surgeries per year to manage this disease. But after dosing with our immunotherapy one patient was able to delay surgery for over a year and a half, and the second has remained surgery free for almost three years. The multi-center Phase 1/2 trial will evaluate the efficacy, safety, tolerability and immunogenicity of INO-3107 in approximately 63 adult patients with HPV 6 and/or 11 associated RRP who have require at least two surgical interventions per year for the past three years. The subjects will first undergo surgical removal of their Papilloma and then receive four doses of INO-3107 one every three weeks. The primary efficacy endpoint will be a doubling or more in the time between surgical interventions following the first dose of INO-3107 relative to the frequency prior to study therapy. In addition to initiating this efficacy trial, INOVIO also plans to apply for orphan disease designation with the FDA Office of Orphan Products Development. This very exciting opportunity for INOVIO adds to the growing body of evidence that INOVIO's DNA medicines drive clinical efficacy in multiple HPV related diseases. We have already demonstrated clinical efficacy in three separate clinical indications. First, in cervical pre-cancers with VGX-3100. Also in head and neck cancer with MEDI0457. And now in a challenging respiratory tumor with INO-3107. Our goal remains to be the go to immunotherapy provider to effectively treat all major HPV related pre-cancers and cancers, and I think we are on our way there. Now, to our Phase 3 program and lead asset, VGX-3100, our Phase 3 REVEAL 2 trial for cervical HSIL continues to enroll patients and now has a total of 43 sites open globally for recruitment. Including new sites open in Brazil and South Africa along with four new U.S. based sites. Also, top line efficacy data from REVEAL 1 Phase 3 trial is on track to be reported in the fourth quarter of 2020. We're also evaluating VGX-3100 in two separate Phase 2 trial for the treatment of vulvar HSIL and anal HSIL. Preliminary efficacy and safety data are planned to be provided later this month at the American Society for Colposcopy and Cervical Pathology or ASCCP 2020 Scientific Meeting on Anogenital & HPV-Related Diseases. Now turning to immuno-oncology and our exciting progress on INO-5401 for treating glioblastoma. In November of last year, INOVIO reported positive interim data on our Phase 2 trial evaluating INO-5401 for treating newly diagnosed GBM at the SITC 2019 Annual Meeting. INO-5401 is a T cell activating DNA immunotherapy encoding for three tumor specific antigens, hTERT, WT1 and PSAMA, and combines INO-9012 are immune activator encoding Interleukin 12. We're also evaluating these combinations with Libtayo, a PD-1 blocking antibody produced by Regeneron Pharmaceuticals in collaboration with Sanofi. Key early interim data from the 52 patient trial showed that 80% of MGMT gene promoter methylated patients and 75% of MGMT unmethylated patients were progression free at six months measure from the time of their first dose. This substantially exceeded historical standard of care data of approximately 60% for MGMT promoter methylated patients and about 40% for unmethylated patients. Again just to reiterate that was 80% versus 60% control, historical control for MGMT methylated patients and 75% versus 40% for MGMT unmethylated patients. INOVIO hoped that our data continues could be positive with respect to historical controls. The median overall survival for patients newly diagnosed with GBM is approximately 12 months for MGMT unmethylated patient population and slightly better in MGMT methylated population. Just to give us a gauge, historically, about 60% of all patients, including both unmethylated and methylated patients are alive at one year. We expect to report 12 months overall survival from our trial in June of this year in 2020, followed by 18 months overall survival in the fourth quarter. With that, I would not ask our CFO, Peter Kies to provide a financial update. Peter?
Peter Kies: Thanks, Joseph. INOVIO enters 2020 with a very strong balance sheet and cash position to continue funding research and development and the programs that Joseph just talked about. As we reported in our 10-K filed today, cash, cash equivalents and short-term investments were $89.5 million as of December 31, 2019. This compares to $93.8 million on our last reported quarterly earnings. In addition, in the first quarter of this year from January 1 through March 11, 2020, the company brought in net proceeds of $208.2 million by selling common stock under its ATM agreement. Based on the programs in development, as of today, our year-end cash position plus whatever we've raised since year end provides INOVIO with the strong multi-year cash runway. For the quarter and year ended December 31, 2019 research and development expenses were $22 million and $88 million respectively. This compares to $26.4 million and $95.3 million for the same periods in 2018. The year-over-year decrease in R&D expenses was primarily due to a decrease in employee compensation expense and drug manufacturing expenses related to our partnership with AstraZeneca among other small variances. This decreases were offset by an increase in expenses related to clinical trials and a one-time personnel related restructuring charge incurred during the third quarter of 2019. Total operating expenses decreased by roughly 8% this year, where we reported a $115.2 million for the full year in 2019, which compares to $124.6 million in 2018. Lastly, revenues for the fourth quarter and year-end were $270,000 -- 279,000 and $4.1 million respectively. This compares to $2.5 million and $30.5 million for the same periods in 2018. This year-over-year decrease in revenue under collaborative research and development arrangements was primarily due to the recognition of a one-time upfront payment of $23 million from ApolloBio during the second quarter of 2018. As a reminder, you can find our complete financial statements for the fourth quarter of 2019 in today's press release and also in our 10-K filed with the SEC. Today's 10-K can all be -- also be accessed on our website under Investor Relations financial reports. With that, I'll turn it back to you, Joseph.
J. Joseph Kim: Thanks, Peter. Before we begin the Q&A session. I want to recognize and thank all INOVIO employees for the countless hours of work that you have completed in response to the COVID-19 outbreak, while still executing your work on our core pipeline programs. INOVIO DNA medicines platform is well suited to respond to disease outbreaks like this. And it is our responsibility to play our part in serving public health interests. INOVIO is dedicated, capable and flexible to rise up and provide a solution for COVID-19 and we look forward to sharing progress updates and results in the near future. Please also stay tuned regarding our very important Phase 2 and Phase 3 data catalysts for VGX-3100 for HPV related diseases and INO-5401 for GBM. 2020 will truly be a transformational year for INOVIO. I look forward to taking your questions now. Operator, Please open to the line for the analysts.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question comes from Charles Duncan from Cantor Fitzgerald. Please go ahead.
Charles Duncan: Good afternoon Joe and team. Appreciate all the commentary on COVID-19 earlier in the call. And should you live in interesting times. I had a question about that program and then a couple of your core pipeline programs. My question on COVID-19. I'm just kind of wondering about the variability in the spike protein. If you could provide us some sense of that? Looking at COVID-19 versus other corona beer [ph] day. Do you expect not only activity for COVID-19, but also cross reactivity and potentially protection against other coronaviruses that could come out in the future?
J. Joseph Kim: Yes. Thank you, Charles. So the coronaviruses, as a family are not as variant as some of the other RNA or DNA viruses like HIV or flu or such. So, we haven't really seen so much mutation to date, but we're still early. And there's been various reports of variants and diversity. But I think those are still being determined and still controversial. What I can tell you is our overall DNA medicines platform, our approach with DNA vaccines using full-length antigenic proteins, but also being able to generate both CD8 killer T cell responses, as well as our antibody responses. We should be able to address any sort of minor drifts much better than other vaccine modalities such as proteins or viral vector delivery programs. So while we will be continually serving the potential of the changes in the COVID-19 virus or SARS-CoV-2. We are quite confident in our approach using INO-4800.
Charles Duncan: Okay. That's very helpful, Joe. And moving on to the core pipeline programs considering the cervical dysplasia over 3100 program. For REVEAL 1 and 2 , I know REVEAL 1 is fully enrolled. But in terms of two, do you see any timing impact on enrollment due to any of the quarantine effects that you saw in Asia or social distancing that you are seeing in the States or maybe we will see in the states going forward?
J. Joseph Kim: Yes. Fantastic question. And I think it's just enough for our program, which we addressed in the risk -- additional risk factors in the 10-K. I believe this pandemic coronavirus pandemic has the potential to disrupt many of the clinical trials and drug development efforts not just for INOVIO, but across the whole sector and across the globe. That being said, I don't expect major impact of this pandemic on our ongoing trials not just for REVEAL 1 and 2, but also for our GBM and RRP. Now that's not to say that there won't be future impact. But so far there hasn't been any significant impact on our timelines and execution.
Charles Duncan: Okay. And then one last one for you and then one quick one for Peter. In terms of you're seeing clinical meetings being canceled and I know you've got some results, some Phase 2 results coming up as well. Eventually the Phase 3 results with REVEAL 1. But at least for the Phase 2 results if the clinical meetings are canceled or postpone that you're planning on present thing those results in. Would you just pre press release the results? Or would you actually hold them and delay that for later on the year for a presentation in a peer-reviewed form?
J. Joseph Kim: Yes. Great question. This pandemic has been a unprecedented event for many ways. While I believe some of the banking conferences can be postponed, you know, science moves. So I think having delayed conferences may not make a great sense for some of these scientific and medical conferences. So we're going to be evaluating and reacting to some of these opportunities where some of these conferences are going to be held in a virtually. Abstracts will be published and maybe even posters and oral presentations can be made in a virtual fashion. That's not the most ideal situation. Obviously, we would like conferences like AACR or ASCO to be where you're unveiling important data. But I think we have to react logically and wisely to this outbreak situation. So, we're going to be evaluating this and very quickly, because we have a conference coming up originally by end of this month for our [Indiscernible] and in Phase 2 data. So most likely, we'll publish a press release and also when appropriate be able to talk about the abstract and the poster presentation.
Charles Duncan: Okay. That sounds great. One quick one for Peter. Congrats on the use of the ATM bolstering the balance sheet. You've had a lot of trading volume and that helps. But I'm wondering is it -- I'm not all that enamored with ATM just because it's not always clear where that demand is coming from. But do you sense that there is institutional investor demand that is part of that. I mean, what has been the feedback?
Peter Kies: Yes, definitely. There is a sense that there is a combination of retail and definitely institutional investors are mixed into that.
Charles Duncan: Okay. Thanks for the added color. Thanks for taking my questions.
J. Joseph Kim: Yes. With that more -- I expect to be updated filings at [Indiscernible] times. But yes, when you have a 100 million plus average in the last few days per day shares, I expect -- we expect it's going to be a mix of both retail and institutions.
Charles Duncan: Yes. Thanks Joe and Peter.
J. Joseph Kim: Thanks Charles.
Operator: The next question comes from Chris Raymond from Piper Sandler. Please go ahead.
Allison Bratzel: Good afternoon. This is Allison Bratzel on for Chris. Thanks for taking the question. So another on the coronavirus, obviously, acknowledging that COVID-19 is a fluid situation. But I guess I'm hoping, you can help us understand your expectations for the regulatory path forward for INO-4800. I think maybe it would be helpful if you could discuss your takeaways from discussions with regulators and maybe just talk about what you see as the most likely path forward from now to a million doses in hand by your end to widespread use in 2021? And kind of talk about what kind of milestones we should be looking for in the coming months?
J. Joseph Kim: Yes. Thanks Ally. Great question. I would preface this by saying, there are still a lot of uncertainty and things are moving. I used this word before unprecedented NBA canceling and other major sports canceling, there, suspending their seasons and NCAA Tournaments canceling. So -- and our kids school district has suspended for two weeks. So I expect this type of interruptions and disruptions to occur in the homeland and certainly we saw this type of dire situations in China and Italy and South Korea and elsewhere. That being said, what we know today is we have our razor focus, our teams razor focus on getting INO-4800 into our first-in-man Phase 1 clinical trial in the U.S. Every thing is really executing well. Our ducks are lined up in order. And I believe our team is working very hard to live up to what our target was in starting our Phase 1 trial in the U.S. in April. That being said, we are also looking for two additional opportunities not just looking at the Phase 1 objective of safety and immunogenicity and the dosing levels of INO-4800. We're looking at potential to seek early signals of efficacy and we're looking at in three geographical areas. The first is China. We have a partnership with Beijing Advaccine to enter that territory with INO-4800. Again with Phase 1, but we're looking to accelerate into an efficacy setting as soon as we're able to. Second, similar opportunistic trial opening in South Korea. And thirdly, as President Trump impressed upon to me during our conversation at the White House task force meeting. He said, why don't you go to Seattle. So -- but unfortunately these could be in Philadelphia where we are or San Diego or Los Angeles or New York City. So I believe we will be able to act nimbly and opportunistically after getting our early safety and immunogenicity of our vaccine. Just putting on a crystal ball, as situations calls for it, and as from the outbreak and as our funding partners and others support, we can provide up to 1 million doses of INO-4800 by the end of this year. Now, I just want to be clear. This could be used -- the million doses could be used for further testing in Phase 2 or Phase 3 setting. Number one. Number two, if the regulatory and government agencies need them, they could make arrangements to have them utilize in an emergency situation. But again, our goal is to make million doses which is our current capacity using our existing and our network of contract manufacturers and our own manufacturing capacity to deliver about a million doses by the year end. And we have our focus on delivering on that, assuming the continuous need from the outbreak and the support of our very strong team of funders that we expect from globally and from the United States.
Allison Bratzel: Thanks. And maybe as a follow up to that on that device. So I -- we saw you got some more funding to advance CELLECTRA 3PSP device. Can you talk about additional testing work that needs to be done with this 3PSP and your overall just confidence level and the ability to scale up manufacturing capacity for that? And just clarify, I think VGX-3100 had a brief trial hold for an issue that was related to that delivery device, the 5PSP. So just want to understand if that could be a gating factor? Thanks.
J. Joseph Kim: All right, Ally. Let me just clarify very quickly last things first. CELLECTRA 5PSP currently is being tested without any delay in Reveal 1 and Reveal 2 trials. And prior to starting those phase three trials, the FDA asked for additional testing. So prior to the start we had a slight delay of about six months. That CELLECTRA 5PSP is currently operating extremely well in the field in the trials, which is a completely different device than our nearly engineered and scaling commercial level vaccine delivery device. We called that CELLECTRA 3PSP. And I'm sure everyone has seen the announcement this morning that Bill and Melinda Gates Foundation has generally -- generously supported. And they have been a very strong supporter of INOVIO for many of our R&D programs in the past for accelerating the scaling up and finalizing the testing for CELLECTRA 3PSP. This funding is going to go a long way in making that happen. We also had $8.1 million funding just for this device. About a year ago and that had us start that development. This additional funding is going to help us accelerate the completion of the testing, as well as setting up the automated manufacturing lines in anticipation of delivering multimillion doses of INO-4800 in the coming years. One million doses can be delivered utilizing our current pilot device. But for planning for 50 million doses or 500 million doses, some of the public health experts are forecasting that will require a massively manufacturable device which CELLECTRA 3PSP represents and the cost effective arrays, the disposables that we have engineered in to CELLECTRA 3PSP. So, we're quite happy and grateful for the Gates Foundation funding. But also we're happy to tackle this challenge of scaling up. And I believe you should be hearing more about these type of efforts that we're putting in with lot of direct external funding from various sources. Now we're very happy and grateful to CEPI and the Gates Foundation. But we expect this coalition of funders will continue to grow in the coming weeks and months.
Allison Bratzel: Okay. Thanks for that clarification. Thanks guys.
J. Joseph Kim: Yes. Thank you.
Operator: The next question comes from Stephen Willey from Stifel. Please go ahead.
Stephen Willey: Yes. Good afternoon. Thanks for taking the questions. A couple from me. I guess, first just regarding the 3100 update in the other genital HPV types. Can you just frame up I guess what we should be expecting in terms of just the magnitude of patient data that we'll be seeing from each subgroup? And maybe just give us a little bit of a framework for some of the historical outcomes data that you would expect to see in this setting?
J. Joseph Kim: Yes. So vulvar, and anal HSIL are orphan disease. So the number of prevalence and incidence are not as high as the cervical pre-cancer that we're addressing with VGX-3100 in the Phase 3 REVEAL 1 and 2 testing. As you know, we are conducting two small Phase 2 trials for each of the indications anal and vulvar HSIL. While the indications have similar name. These two diseases are very distinct and we have enrolled 24 anal HSIL patients in this very targeted trial, as well as enrolling 33 vulvar HSIL patients in a separate trial. At the conference end of this month, maybe in a electronic virtual form, we plan to present at least 50% of these population. What we're looking for are the regression of vulvar or anal HSIL down to low grade or full clearance, as well as the impact on HPV 16 or 18 viral infection. So in that regard the settings are and the approach are similar to our cervical HSIL Phase 2 and Phase 3 studies. We're very hopeful to see the -- and present positive response and regressing HPV 16 or 18 specific HSIL and vulvar and anal setting.
Stephen Willey: Okay. That's helpful. And then I guess one on COVID. So I think the MERS vaccine that you guys having Phase 2 is currently on a three dose schedule, which I think requires patient visits and I think it's zero, four and 12 weeks. Just kind of curious if you know now I guess based on some of your preclinical data whether or not you would expect a similar dosing schedule with COVID? And I guess maybe if you could just talk a little bit about how you envision kind of a protracted three dose regimen kind of playing out from a mass deployment type of perspective?
J. Joseph Kim: Yes. Steve, great question. And we've learned a lot. As we stated -- Kate and I stated, during our prepared remarks, we learned a lot from our MERS Phase 2a study as well as our earlier studies in Ebola, HIV and Zika and others. We know 100% that three doses, three shots are better than two. And two are better than one. That's an absolute fact. But we've also learned that two injections are administrations in many times are sufficient. And sometimes in the MERS vaccines case, we were able to completely protect or have a very high protection in non-human primates with just a single dose. So I can tell you, well, I'd rather not say that's not public, but I'm pretty sure we're not going to be able to deploy a three dose regimen or three visits for dosing in a pandemic setting. Maybe in Philadelphia or L.A., but not across the globe. So we're looking for what the WHO and others have looked at as a target product profile and a successful vaccine for COVID-19. That's the level that we'll be testing. So I'm trying to answer around without providing any non-public information. But guess what? You're going to be able to see that very quickly in another month. So I think you should stay tuned. But I can tell you it's not a pandemic response. This is not going to be optimally done with three those regimen.
Stephen Willey: And is there a maximum amount of vaccine, I guess, from a milligram per dose perspective that could be administered to be a 3PSP device?
J. Joseph Kim: Yes. It's about a hundred micro liter volume. So it's -- that's intradermal route, while you and I are both enamored with that delivery route for a vaccine. One limitation is the volume to deliver. So we are able to, in preclinical models and some of which we have submitted to nature communications, and it's available for anyone to look. We're able to generate robust immune responses in those animal models even with a single dose at the level that we're looking at for clinical study. So I don't believe our vaccine delivery is going to be volume dependent so much. I believe we will be able to generate the relevant immune responses using our vaccine dose that we are aiming to test in the Phase 1 study.
Stephen Willey: Okay. So maybe just ask another way. I guess the top dose that was explored in the MERS trial was 0.6 mgs. Should we assume that that's the highest dose of vaccine that you can provide for COVID?. Or is there more room in terms of being able to concentrate on that?
J. Joseph Kim: Yes. Not at all. In our Ebola vaccine study with a similar type of setting or a higher dose was at 2 milligrams. The MERS study was testing a different part of hypothesis where we were coming from a Phase 1 study in the U.S. for MERS up to six milligram dosage, using an intra muscular delivery. So we wanted to have a full spectrum of dosing capability and we were able to learn a lot from that. So obviously, let's you have to dose in the vaccine whether milligrams or volume, more you can dose there in the pandemic setting. So, we'll be looking at escalating doses in the levels in these early Phase 1 trials. But we have a pretty good idea based on our long expertise and experience in these vaccine studies including MERS and Ebola and HIV and others where a appropriate dose of INO-4800 maybe. But that's why we do clinical studies to optimize those conditions.
Stephen Willey: Okay. Thanks for taking my questions.
J. Joseph Kim: Yes. Thanks, Steve.
Operator: The next question comes from Gregory Renza from RBC Capital Markets. Please go ahead.
Gregory Renza: Hey guys. Thanks for taking my questions. And thank you for the update today. I just want to follow-up on your commentary on the CELLECTRA device. I think as you are advancing with the COVID effort increasing interest and demand on hearing you basically frame up the user experience with the device, the patient experience given that there are scores of data sets available from your historical studies. And just remind us of what that, the pros and cons of the CELLECTRA demonstration experience? Thank you.
J. Joseph Kim: Yes. Thanks. Thanks Greg. CELLECTRA 3P delivery intradermally and we have published on this. The level of tolerability in vaccine studies has been very good. In a zero to 10 vast score the patient reported pain score is around two, which is within the magnitude of what you may expect from a conventional flu vaccine that one would expect from seasonal flu vaccination. So we're quite happy with the intradermal mode delivery using CELLECTRA 3P. Obviously, from a user standpoint, the health care professional standpoint, 3PSP is slick and well-designed, easy to use and easy to manufacture device that's quite well suited for mass production for pandemic prepared efforts and preparing for large delivery of these vaccines. So we're quite excited about the progress that we're looking to make in this arena. And then accelerating that 3PSP device was a very important component of our overall COVID-19 vaccine scale up strategy. And again, I can't be any more grateful and we can be any more grateful to the Bill and Melinda Gates Foundation for their continuing support.
Gregory Renza: Great. Thank you Joseph. And then, another follow up, as you have guided two trials beginning for the COVID-19 asset in April. I just want to clarify that the 30 healthy volunteers is what you have shared. Are their efforts also with respect to positive cases here in your earlier commentary on Seattle and other regions. Just trying to get a sense of the patient population that you're identifying for the next step and what we can expect?
J. Joseph Kim: Yes. Greg. Thanks. The Phase 1 study is going to target healthy volunteers and where it will screen for patients or volunteers to make sure they're not already infected with coronavirus. Probably its slow even today with about little over thousand persons. It's a growing number, but with 300 million plus people in the U.S., I think we can find 30 or 40 healthy volunteers. But that's an opportunity post Phase 1 where there will be increasing potential volunteers that we can test the early signals of efficacy appropriately even in the U.S. So while it is a growing concern for those of us who live in the U.S. It's a opportunity to test our vaccine closer to home over time.
Gregory Renza: Got it. Thank you very much for taking the questions.
J. Joseph Kim: Yes. Thanks, Greg.
Operator: The next question comes from Jonathan Aschoff from ROTH Capital Partners. Please go ahead.
Jonathan Aschoff: Thank you. I was wondering, are you guys going to use a coronavirus degenerative sequence such that perhaps maybe the fourth time around you have something already there to use for a broadly useful vaccine?
J. Joseph Kim: I'm sorry. Can you say that again, Jonathan?
Jonathan Aschoff: Are you going to use a generative sequence to generate perhaps a coronavirus vaccine that could be useful against potentially all the coronaviruses that we might encounter such that there is one that you have in hand tested already. The next time there is one of these outbreaks?
J. Joseph Kim: Yes. That's a very good question. There are divergence in these different viruses in the coronavirus family. So a quick answer is, we don't have that yet. Our focus is on dealing with this COVID-19 pandemic. But we have research programs where we have extensive work that was done in researching and developing in the early stages of universal or very broadly protective flu vaccines. And we can certainly rely on some of those approaches. So quick answer is no. In the early stages of the outbreak, there were a lot of questions, a very valid questions. Either could we use our MERS vaccine that's been produced and already been tested to be safe and immunogenic in people. Could we use that? You know, what we found out later, most likely it wouldn't have a positive outcome. Could you use SARS vaccine there? I think there are some researchers trying to address that. From our understanding in vaccinology and immunology, those are good tries and good questions. I think it's not going to end up in a very positive outcome. But you're thinking of creating preset vaccines for future outbreaks is almost similar to that what started CEPI, the global organization that's really at the forefront of combating these future and current epidemics. That's what their thesis was that we should at least make vaccines against known crazy pathogens, really scary pathogens. And that's how they were able to fund our MERS and Lassa fever vaccine development. And having them in 2020 outbreak with COVID-19, I believe made a huge difference compared to when we didn't have CEPI just three years ago. So, I believe organizations like CEPI and other rapidly responding even companies like INOVIO and Moderna and Novavax and others, we are the front line fighters against this true enemy in this battle, which is the SARS-CoV-2 or COVID-19 causing virus. So while we may have friendly competition in creating the best vaccine most safe and effective for COVID-19. We - INOVIO at least we have our eyes focused on who are our real targets are and who our true enemy is in this SARS-CoV-2 virus.
Jonathan Aschoff: Joe, how long do you think someone has to wait after receiving the first dose to have a useful immunity?
J. Joseph Kim: Great question. We wouldn't really be able to answer that definitively in patients until we have opportunities to do an efficacy setting trial. In animal models, again, we have various challenge models that we're working with collaborators across the globe. Animal challenge studies will help us address that question more definitively. But in MERS and Zika or other pathogenic challenge models in non-human primates sometimes as early as two weeks, three weeks after the vaccination you have built sufficient level of immune responses and more different arms of the immune responses that you can generate, I believe it could be additive. So one of the advantages I see that INOVIO's DNA medicine's platform has is the hallmark of the immune response is for our vaccines or immunotherapy has been our ability to generate very strong antigens specific CD8 killer T cell responses along with antibody responses directed to the target antigen. So, I think, higher the level the better and the multiple arms that you can access through vaccination should be helpful.
Jonathan Aschoff: Okay. And then lastly when you said multiyear for a cash runway, it looks on my models to be about three years. Is that in the ballpark?
Peter Kies: Yes. That's in the ballpark.
Jonathan Aschoff: Thank you very much.
Operator: The next question comes from Ram Selvaraju from H.C. Wainwright. Please go ahead.
Ram Selvaraju: Thanks a lot for taking my question.
J. Joseph Kim: Hi, Ram.
Ram Selvaraju: Hi. Thanks. So just a few that are non COVID-19 and then a couple on COVID-19. Firstly, can you comment on when we might see the first clinical data from the 4700 program please?
Peter Kies: Our MERS vaccine in Phase 1/2a?
Ram Selvaraju: Yes.
Peter Kies: I believe this year study is finishing up now and we should be able to see -- I mean, we have some of that data that's driving. Lot of our planning of 4800 and we should be able to present and publish this study from Phase 1/2a study this year in 2020.
Ram Selvaraju: Okay. And then, I know this question was asked pertaining to the REVEAL -- the second REVEAL study that has not yet reached full enrollment. But are you seeing any COVID-19 related potential perturbation of enrollment in any of the other ongoing non coronavirus vaccine program studies?
J. Joseph Kim: No. Not yet.
Ram Selvaraju: Okay.
J. Joseph Kim: While it's always a possibility and has been a concern. It has not impacted any of our REVEAL or other clinical studies. It could as the outbreak has just been declared pandemic. And if the virus spread even more widely, it could be more pervasive and it could be a problem. But it's not just INOVIO specific. I think you'll be a society or the whole sector specific potential threat.
Ram Selvaraju: Yes. But so far specific -- okay, so that's specific to the COVID-19 program. Just a couple of questions here. When do you project your partner Beijing Advaccine would be able to kick off the clinical testing in China?
J. Joseph Kim: Yes. We can't really provide an exact date at this time, our projected date. We know as soon as possible and it's going to be after April.
Ram Selvaraju: Okay. Are there any plans to test 4800 in South Korea?
J. Joseph Kim: Yes. We're also planning for that with additional collaborators and funders.
Ram Selvaraju: Okay. And then just respect to the CEPI grants, can you give us a sense of what specific activities relating to 4800 development, that amount of grant funding would cover? And does that indeed cover all of the expenses associated with the Phase 1 study?
J. Joseph Kim: Yes. So as I said, we've had a two-year working relationship with CEPI, on MERS and Lassa. This $9 million, up to $9 million grant is supporting all of the preclinical efforts including clinical product manufacturing and also the conduct of Phase 1 clinical studies in the U.S. So, really what you would expect from the completion of Phase 1 studies in the U.S.
Ram Selvaraju: Okay, great. Thank you very much.
J. Joseph Kim: Yes. Thanks Ram.
Operator: There are no more questions in the queue. This concludes our question and answer session. I'd like to turn the conference back over to Joseph Kim for any closing remarks.
J. Joseph Kim: Thank you everyone for joining us today. We look forward to speaking with you again soon. Have a great evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.